Olof Grenmark: Ladies and gentlemen, I’d like to welcome you to Boliden’s Q1 2024 Results Presentation. My name is Olof Grenmark and I am Head of Investor Relations. Today, we will have a results presentation led by our President and CEO, Mikael Staffas; and our CFO, Håkan Gabrielsson. Mikael, welcome.
Mikael Staffas: Thank you, Olof and good morning to all of you out there. We are today broadcasting this from the city or the town of Boliden. We’re doing that as part of our 100-year celebrations. We will later, today, have our AGM. And in connection with this AGM, we have had a full week here of activities, all commemorating our 100 years of history. So it’s good to have all of you here as well, even though it’s in an electronic form. Now when we look into the quarter that we’ve just had, it’s been a – in a way, in a sense, a tough quarter. But it’s also been a kind of difficult quarter to – for you all to be calculating on. If you look on the positive side and start on, we’ve had a important steps happening during the quarter regarding the future-proofing of the business. As you know from the Capital Market Day, we have gone ahead with the new investment in a tank house in Rönnskär. We’ve also gone ahead with the extension of the Boliden Area, as was talked about then. Also the Odda, the Aitik and the Kristineberg projects, the big projects we’ve been doing for the last couple of years, are approaching completion. And that’s still going on well. The autonomous hauling trucks in Aitik have been inaugurated during the quarter and have worked out fine so far. And we also continued our – developed our portfolio of low-CO2 products, and we have launched our low-CO2 nickel in this quarter. A large part of the – what’s happened to us during the quarter has been the political strikes in Finland. These strikes have been number one, not part of our discussion. It’s not been us who has been a part of these negotiations. It’s been other people, and we have only been the consequence of it. We have, first, had two relatively short strikes, but that hit us very hard and meant that we lost maybe up to 7 days from those two strike together as Finland was closing down for officially 2 days at the time, but for us, ramping down and ramping up took more time. And then towards the end of the quarter, we had a almost 4-week long blockage and strike in the ports and the railroad system in Finland, which made it difficult for us to operate, but we managed to produce through it, but we have problems delivering. And we’ll get back to the numbers around that. In the beginning of January, sometimes you lose when you’re going into spring. You’ll forget about that it’s just about a month ago, it was real winter, and the winter in Northern Sweden and Northern Finland was, even for our own conditions, very severe. We had minus 35 degrees for a long time. And we had problems in the mines but maybe even more in Rönnskär that was linked to this, which also was – caused power outages and other problems that we had to get production going. Generally speaking, for the quarter, the production mines has been stable. It’s been very good, and we have even a production record in Garpenberg in the quarter. The prices, if you look in the quarter – and here, you have to be careful about your timing, in the quarter, we’re actually negative – going quite negative in January and February. They picked up a little bit in March but still ended – as an average for the quarter, ended on a negative note. Then after that, now in April, we all know already that we’ve had a very good run on the base metal prices, especially copper and also, to some extent under pressure, metal prices in April, but that’s of course not reflected in the numbers from Q1. Regarding Tara, we have worked intensively with our unions to work on a rescue plan to get going. And we have, in April, come to an agreement with the unions regarding a rescue plan. But in the Irish context, this agreement needs to be voted on by the union members. And that vote in itself is not in our control. It’s in the control of the unions. We expect that to happen shortly in the next, say, few weeks, and we will get an answer on that vote then, and then we can tell you more about the actual agreement once it’s been cleared and done into a done deal. The financial performance in the quarter is SEK1.2 billion. We’ve had a free cash flow of a negative SEK1.5 billion. The negative cash flow, Håkan will come back to that has of course, been influenced, for example, by the Finnish strikes. And the CapEx went according to the plans that we’ve had at about SEK3.5 billion for the quarter. On the key projects, we talked about these at the Capital Market Day, but for those who did not listen then, we did, at that time, announce an increase in the CapEx for the Odda project. Based on that new baseline, we’re doing quite fine, and we’re doing – working hard for the ramp-up to happen in the end of this year. The Aitik dam project is working well. We have already gotten part of the project operational and working. And the completion is expected towards the end of this year. The Kristineberg mine expansion, we’re already mining from the Rävliden ore body. The underlying – the underground trolley trucks tests have worked very well. And we are working hard to get commissioning of the full electric system by early 2025. The Rönnskär tank house we announced a month ago, not that much has happened. We’re getting ready to start construction in a few weeks. And regarding the Boliden Area extension, we have now gotten all the environmental application documentation, and in – for the environmental permit, it’s been sent in. And we’re quite hopeful that, that will be a quick process and get the permits that we need to be able to move ahead with that project. On ESG, we did not have the best of quarters regarding ESG in total. The CO2 emissions were down. That was relatively good, and it’s worked according to plan compared to the comparison periods. The LTI frequency was higher than it’s been in the previous quarters. And thus, we – yes, we did not have a perfect quarter. This is partially linked to the cold weather, but also, we’ve had lots of small things happening. The sick leave is slightly going down compared to the quarter last year, even though in this comparison year with the rolling 12 months is still a little bit up. But we have a sense that maybe we have turned the corner and start getting the sick leave numbers down a little bit. The market development and this is, of course, something where you could talk a long time because a lot of things are happening right now. We have had, during the quarter, a lower zinc, nickel and lead prices going down. The copper improved a little bit in the quarter, but it’s clearly down year-on-year. And remember now, these are data for Q1. Then as I said, in Q2, in early April, all these numbers have gone up quite a lot. The precious metals worked well with an all-time high gold in the quarter, improved silver, however, weaker PGM numbers. The zinc benchmark came out and was established. And we have, in our numbers, a much lower zinc TC, which is, of course, negative for us, especially for our zinc smelters. The zinc benchmark TC has been established at $165 versus the $274 last year. The exchange rates, not big movements, but if you add it up totally for Boliden, it’s actually slightly negative exchange rate adjustment comparing to the previous quarter. If you look at the prices and terms, you can see here that copper prices are, especially with the latest kind of uptick, actually on a quite healthy level. And you can see the copper industry, most people should make money with prices much higher than the cost. In zinc, yes, the zinc prices have come up, which means that there’s a little bit of air, and you can also see that the cost level for zinc miners have gone down, and it’s, of course, linked to – at least partially to the lower TCs that are coming across here. And you can see that in the nickel situation, even though actually here also prices have come up slightly, it’s still a very dire situation for many nickel miners around and with the prices being lower than the cash cost for many operators in the nickel space. If you then look into Boliden and look into our mine production, as I said, Aitik has had, despite, you can say, having tough weather conditions in the early part of January, produced well. That’s 10.6 million tons, toppling those extreme conditions that we had early part of the year. The grades are, you could see, a record low at 0.15%. We have guided for 0.17% for the year, and we still guide for 0.17% for the year, and the variance around that, I would say, is a normal variance that you get in individual quarters. But it’s a little bit safe to tell you and everybody else that this might be the lowest quarter that we will see of the grades in Aitik. In Garpenberg, we actually have a new record in terms of milled production. Especially, we have gotten some increased efficiencies in the ore hoisting, which is the bottleneck right now in the Garpenberg system, and this is working all fine. And the grades are, and interesting enough, exactly what they were last year and very well included in the guidance we have done. Kevitsa at 2.5 million tons in the quarter, that’s on a 10 million base – pace for the year, which is exactly where the permit is, and that’s despite having lost 7 days to the strike actions around there. So also the production in Kevitsa is moving ahead, and the copper grades and nickel grades are moving up and are now in line with the guidance. And the issues that we had last year should now be the history for us. The Boliden Area was also caught by the very cold conditions and had a 7-day mill stop during the quarter but an otherwise good production. And Tara has been in care and maintenance during the quarter. On the smelter side, it’s been a little more struggling. Rönnskär has had issues with weak production, hard hit by the winter conditions and then a little bit difficult getting fully up to speed. In Harjavalta also, weak production coming partially from the political strike that hit Harjavalta pretty hard but also some other process disturbances. In Kokkola, actually very good and stable production. If it wouldn’t have been for the political strikes, we could have had a very good quarter in Kokkola. In Odda, we are having the first full quarter with the cell house #4 permanently closed, which is part of the extension project that it will go down. So we have a little bit of a different baseline. But according to that one, it’s been producing relatively well, and our small lead smelting in Bergsöe has been producing quite well. If we then look over to the financial summary, I will give it over to you, Håkan, to go through the financial numbers.
Håkan Gabrielsson: Thank you, Mikael, and good morning. Well, just to recapitulate the numbers a bit, we have reported an EBIT excluding process inventories of SEK1.2 billion, CapEx of SEK3.4 billion and a cash flow of a negative SEK1.5 billion. Looking by business areas and comparing to the previous quarter, Q4, Mines are on a similar level. We had grades a bit on the low side in Aitik this quarter within normal variations. But on the other hand, we had very strong throughput, for example, in Garpenberg. Smelters is down, SEK505 million, compared to SEK985 million last quarter. Smelters have – is where we’ve seen most of the impact from the political strikes and the cold weather in the start of the quarter. And then finally, other and eliminations, a negative SEK241 million. This varies over time, but this is also where we see quite a bit of impact from the strikes as material, have piled up. Looking at the profit deviation year-on-year comparing Q1 of this year to Q1 of last year, we are down. Prices and terms are down by about SEK1 billion. In there, metal prices explains roughly SEK700 million. And this is primarily zinc and nickel coming – that has decreased compared to last year. We also see lower currencies, lower premiums and by-product prices, each about SEK100 million negative on this change and then lower treatment charges. When it comes to the TCs, the treatment charges, we do not have the full effect yet in this quarter. When looking at volumes and costs and so on, the care and maintenance of Tara, of course, is a very important part. So looking at the volume, which is SEK1.379 billion down, and backing out the effect of Tara in care and maintenance, we have about SEK700 million volume decline left. The political strikes and the cold weather add up to about SEK500 million altogether in the quarter. And then we have a significant effect from the lack of a tank house after the fire in Rönnskär. As you recall, we have guided for about SEK1 billion lost profit per quarter as a result of that. And this is, of course, a part in this comparison. Also, we had slightly lower grades in Aitik. Costs are lower than last year. Again, Tara being in care and maintenance explains a big part of it, but we have also seen lower costs for energy and consumables in the quarter. Moving on to the next comparison, comparing Q1 of this year with Q4 of last year, the sequential comparison. Again, prices are down. We have about SEK100 million negative impact from currencies and about SEK150 million negative impact from lower premiums. TCs also has a negative impact, but again, we haven’t seen the full impact this quarter yet. Volumes are down SEK600 million. Out of that, SEK500 million is what we’ve communicated around cold weather and strikes. And in addition, we have a negative impact of about SEK150 million connected to the lower grades this quarter in Aitik. And again, on the cost side, slightly lower costs than last quarter. We had some one-off maintenance costs in Aitik last quarter. In addition, we see slightly lower cost for energy and consumables. Moving on then to the cash flow. It’s a negative SEK1.5 billion. We are in a peak spend in the Odda project, which is visible in these numbers. And I think there are two parts of this cash flow that I would like to comment a bit more on. One is the cash flow from working capital that came out clearly better than we expected and clearly better than what we have indicated in previous calls. First of all, the strike was well managed by our Finnish units, which meant that we tied less capital than expected. We also had delays in incoming vessels, which meant that some concentrate payments that we expected to do before the quarter end has been pushed over to April. And that means that we have been tying a bit more working capital in the earlier parts of April. The second part that stands out here is the paid tax. As we talked about in the previous webcast connected to – after the Q4 closing, we had an unusually low tax paid in Q4, and we talked about a significant amount in catching-up now in Q1, and that is exactly what has happened. As you can see, the taxes paid this quarter is on the same level as last year in spite of lower earnings, and that will, of course, normalize as we go forward in the year. Finally then on the balance sheet and capital structure, we are at a gearing of around 20% and net payment capacity is just short of SEK15 billion. So a robust balance sheet and a robust financing supporting us going forward. So with that, I hand over again to Mikael.
Mikael Staffas: Thank you, Håkan. You can stay here. I only have one slide, and then you’ll get part of the questions. Anyway, we – regarding the guidance going forward, it’s relatively straightforward. Regarding CapEx, SEK15.5 billion, we said on the Capital Markets Day. SEK15.5 billion, we say again. We are reiterating the guidance that we gave then. Regarding the maintenance stops, smelter effect for ‘24, it’s SEK400 million. It’s relatively – by our standards, relatively small maintenance years. This is also in-line with previous guidance. And then we are, a little bit in a new format, providing you guidance for the year on grades, and there is no update here, apart from the fact that we’re adding the Boliden Area that we have never really guided for before and not more than the kind of general one that it should be in line with the – what is in the R&R statement, but now we have a guidance for the two main metals for zinc and for gold in the Boliden Area as well coming to this year. And as I said, there is no change in the guidance we’ve given before. And in our mind, there’s also no change in the internal budgets that we’ve had for the Boliden Area. So with that, I’m reminding you all of our purpose, our vision and our values, and I’m getting ready to take questions.
Operator: [Operator Instructions] The next question comes from Adrian Gilani from ABG Sundal Collier. Please go ahead.
Adrian Gilani: Yes. Hello. And good morning. A couple of questions from my end. First of all, on Tara, you mentioned that there was an agreement in place that the union now has to vote on. I guess can you give us a time line for how that process looks like? And if the agreement then does go through – is finalized, then when could Tara be back to producing again?
Mikael Staffas: Regarding the time line of the actual vote, it is shortly within the next week or 2, although we don’t control it. This is, of course, up to the unions. But what they have told us, they will try to manage this within the next week or two. Regarding the actual content of the agreement that we have done, I will, of respect to the unions, not go into any details. The unions are actually today informing their own shop stewards, and I think the members will get informed on the content of the agreement later in this week, and then they will vote. And as I said, I don’t want to be the one who kind of leaks out the information beforehand. I want to respect the unions, and they get to inform their people in their own fashion around that.
Adrian Gilani: Okay. That’s very fair. I understand. And then on the key grades, both in Aitik and in Garpenberg, both below the 2024 guidance, I guess was there anything unexpected like a change in the mine plan or were lower grades in Q1 something you had accounted for already?
Mikael Staffas: There is always a little bit of going up and down. This is – put it this way, this is not unexpected. We knew that, but we don’t really want to guide for individual quarters. And when it looks at the plans for the whole year, still looks very much in-line with what we had guided for before.
Adrian Gilani: Okay. And a final one from me. There were a lot of things impacting earnings in the quarter. But if we just take – if we take the SEK400 million from the strikes, you say SEK165 million from lower grades and then SEK100 million from the winter conditions, we get sort of – that EBIT would have been around SEK1.8 billion, excluding revaluations. Would you say that’s a fair starting point for coming quarters before then also factoring in, of course, higher prices and things like that? Have we gotten the main effects there?
Mikael Staffas: I think, yes. I’m looking at my CFO, but I think the answer is yes.
Håkan Gabrielsson: I think, yes. We had some revenue from royalties as well. But it’s in that area that we are, yes.
Adrian Gilani: Okay, prefect. And that’s all for me. So thank you.
Operator: The next question comes from Ioannis Masvoulas from Morgan Stanley. Please go ahead.
Ioannis Masvoulas: Hello. Good morning and thank you very much for the presentation. First question from my side, can you remind us what proportion of copper and zinc TCs are booked in Q1 based 2024 terms?
Mikael Staffas: Without having the exact number, order of magnitude, roughly half of the TCs in Q1 will be based on deliveries that were made according to last year’s deal, which would – so about half will be last year and about half would be this year’s.
Ioannis Masvoulas: Good. Thank you very much. And a quick question on the better working capital development in Q1. Is there any catch-up effect in Q2? You mentioned that some timing on paying for concentrate deliveries. But yes, could you give us a sense on what sort of magnitude we should be expecting if there is a build to come in the quarter?
Håkan Gabrielsson: Again, to put it like this, from the quarter end to where we stand now and to the end of April, I expect a working capital build of about SEK1.5 billion to SEK2 billion. Then we expect a decrease in working capital in June. So hopefully, that should be not too much of a build in this quarter. But it is, as always, quite – there is some uncertainty exactly what happens at around the quarter end. But a build in April and then coming down towards the later part of the quarter.
Ioannis Masvoulas: And last question on Tara...
Mikael Staffas: I’ll just – you didn’t mention that, Håkan, but just also so everybody knows that in reality, when things – when prices go up, of course, we tie more working capital into our inventory, which is this one. So, that one should also be taken account. I don’t know exactly how much money it is.
Håkan Gabrielsson: No, but that’s true. I was more referring to at constant prices. But you’re right, the price increases does have a negative impact on working capital as well.
Mikael Staffas: Sorry for breaking you up, Ioannis. Go ahead.
Ioannis Masvoulas: Very clear. Thank you, both. And last question on Tara. You mentioned the preliminary agreement you have with the unions. But I wanted to ask around other aspects of the cost base. Is there any progress on power, on freight or any taxation, any other parts of the cost structure that you’re looking to improve?
Mikael Staffas: Let us do the following that we will announce all these things as we hopefully will have a kind of signed agreement with the unions, which is the path to opening Tara. We will be – then once that’s clear, be much clearer about the total situation and what the impact will be on costs and on volumes and so on.
Ioannis Masvoulas: Very clear. Thanks so much.
Operator: The next question comes from Liam Fitzpatrick from DB. Please go ahead.
Liam Fitzpatrick: Hi, good morning, everyone. Just two or three follow-up ones. Firstly, on Aitik, I just wanted to clarify how we should interpret this SEK150 million grade impact. So if you recover from the low grade that we saw in Q1 to the 0.17% guidance for the year, we should roughly assume around SEK150 million quarterly pickup. That’s the first question. Then just Mikael, you mentioned something about negative provisional pricing through Q1 that was poor in Jan, Feb and then got better in March. Can you quantify that in any way for us? And then lastly, just on the project front, on Kevitsa, the stage 5. When do you think we’ll get an update on your – on the timing and your plans there? Thank you.
Mikael Staffas: Let me take the last one, and I’ll leave the other two ones for Håkan to answer. But regarding timing on stage 5 in Kevitsa, I will say that we’re probably talking either late this year but more likely early next year for a decision. But as been said many times regarding Kevitsa, it is not that we have to make a decision or we kind of lose a deadline. We can postpone that decision if we feel there’s genuine insecurity that might make it a little bit more jumpy ride in Kevitsa because we will then let go of resource that could be used for stripping that would then – if there will be a later decision, would have to be taken in back for an accelerated stripping. But we’ll see. I mean you understand – everybody will understand that what is happening right now in the nickel market is, of course, not really good for a Kevitsa stage 5. We’ll have to see where the nickel market will go and so on before we take a decision there. Now I’ll leave the other two ones regarding the grading – the grades and the provisional pricing to you, Håkan.
Håkan Gabrielsson: Well, provisional pricing, let’s see if I recall that number right there. I believe we had about minus 50 in the quarter. I’m looking at Olof to see if he’s correct me, and he is not correcting me. So let’s go for that. And quarter-to-quarter, we had SEK150 million negative on the grade side. And that, of course, means that we’re going to mine at higher grades than what we’ve guided for in the remaining quarters to catch up those SEK150 million. I’m not sure if I understood your question right, but that’s – it’s correct. We’re going to mine above 0.17% for the remainder of the year.
Liam Fitzpatrick: Okay, alright. Thank you.
Operator: The next question comes from Viktor Trollsten from Danske. Please go ahead.
Viktor Trollsten: Thank you, operator and good morning, Mikael and Håkan. Just if you could help us with how much volume do you expect to come from Liikavaara in 2024?
Mikael Staffas: That’s a good question. I can’t remember right now exactly what the tonnage is. It’s a relatively small percent because right now, we’re stripping and we will get ore towards the end of the year coming out of there. I’m looking at you. Do you recall exactly what the amount of tonnage is?
Håkan Gabrielsson: I don’t recall the exact tonnage, but it is included in the grade guidance, and it is included in the normal throughput.
Mikael Staffas: It’s a couple of million tons, but I don’t know exactly.
Viktor Trollsten: Okay. Super. Super. No, that helps. And is it still fair to say that at sort of full run rate, you could do 8 million, 10 million tons from there? Or...
Mikael Staffas: We said that about 20% of the total feed is expected to come from Liikavaara over time, and that’s about 9 million tons.
Viktor Trollsten: Okay. Okay. That’s super. And sorry for pushing on this, but would that be possible already in 2025 or is it anything in terms of ramp-up that sort of hinders that?
Mikael Staffas: The answer is, I think it’s possible. Whether it’s going to be exactly that way is going to be a decision as we kind of optimize the mine planning towards the end of the year as we start looking at that. But I think it will be possible. It will be open for that kind of volume.
Viktor Trollsten: Okay. That’s super. And then secondly, just on perhaps your thoughts on global smelting with spot TCs at these levels. I guess if you could first just remind us, I guess, your contract structure is still around 15% positive, if I’m not mistaken, both on copper and zinc. But how does it look for the overall global smelter? And are we now in a situation where we should see more curtailment? Or just your thoughts on current TCs, I guess.
Mikael Staffas: Well, the current spot TCs, for those of you who don’t know, the copper spot TC is basically close to zero. There’s also rumors that there have been deals done at negative TCs for copper. For zinc, they’re not negative, but they’re very low. This, of course, is sign that right now, the – it’s a tough business to be in smelting. And yes, if you – the question is, I would expect that we will see curtailments in different parts of both copper and zinc smelting, but exactly when and where and by whom, I do not know. Having said all this, we should also remember that especially for copper smelters, TC is not the major part of the total returns for a smelter. The free metals is a more important part. And as I just said, we are now right looking at record gold prices, which means that the free metal part is big. So when you look at the totality, it is not as bad as you could think just looking at the spot TCs, but it is tough.
Viktor Trollsten: Okay, now that’s clear. That’s all for me. Thank you very much.
Operator: The next question comes from Jason Fairclough from Bank of America. Please go ahead.
Jason Fairclough: Hi, good morning, gentlemen. Thanks for the update. Look, a couple of quick ones for me. And just to confirm, actually, the Platts TC this morning is actually negative $0.50. So we are in a world of negative treatment charges for copper. Look, first, just on the strikes in Finland, obviously, Q1 impacted. How do we think about this into Q2? Are there some lingering impacts? Or should we not see too much impact from the strikes? And then just a second one was on Tara. As and when you get to the decision to restart, how should we think about potential capital outlay to get it restarted? Is it zero because it’s been on care and maintenance or is there actually some costs associated with getting that restarted?
Mikael Staffas: Let me start with the strikes in Finland. Just to be very clear, the risk of political strikes in Finland is not over even though as we speak, there are none. But the unions have threatened that it might come back. I don’t know if it will or not. If we assume that it will not, then we should see no additional impact in Q2, and we will have a reversal of around SEK200 million that was stuck into inventory that will be released during Q2. So you would have a one-off positive effect of SEK200 million, assuming that there will be no more strikes, which we pray for every morning. Regarding Tara and the start-up costs, once again, I don’t want to get in too much detail because it’s linked to what is written in this contract proposal that’s now going to be voted on. In terms of start-up costs, in terms of CapEx, kind of normal CapEx is going to be very low. We have the equipment that we have. We don’t need any real CapEx for that. But there will be ramp-up costs linked to the fact that we need to get people in, and we will, most likely, need to do training with people and other things to get going. So there will be some ramp up costs regarding that. And then we will see whether there will also be some redundancy costs. So yes, there could be some one-offs linked to those two types of costs.
Jason Fairclough: Okay. Thanks very much. Could I just follow-up on the TC/RCs? So, if you look, we have had the CEO of Aurubis in the press basically calling for protection for the metals industry because he says that there is market forces here that are just not fair, that are not normal and the industry needs protection. How do you think about that?
Mikael Staffas: I would rather wish not really to comment on that. I think you can, of course, always when you get tough prices and terms, you might want some protection, but of course, this is a part of a bigger game. I would say that even if Roland is, of course, talking about the copper industry, I am more concerned about another value chain and partially because of Boliden, but maybe more because of all of Europe, and that’s nickel. If Europe really wants to have some kind of nickel industry left, they are going to have to think about those kind of discussions as well.
Jason Fairclough: Okay. Alright. Appreciate the color. Thank you very much.
Operator: The next question comes from Amos Fletcher from Barclays. Please go ahead.
Amos Fletcher: Yes. Good morning gentlemen. I have three questions. The first one, just following up a little bit from Jason’s question on the second quarter impacts from the strike. Obviously, the strike carried on for another week into Q2. You were saying there will be SEK200 million release from internal profits. But what will be the quarter-on-quarter delta on the sort of operational side is what – the first question. The second question is just on the Boliden Area guidance for grades for zinc is pretty low versus reserve levels. What sort of timeline should we expect kind of grade trajectory to get back to reserves at Boliden Area in the future years? And then the final question is basically the same question, but for Kevitsa. I was just wondering if you could give us some updated thinking on when we should expect Kevitsa grades to reach reserve levels as well. Thanks.
Mikael Staffas: Boliden Area is regarding – there is a reason why we have not guided for grades before, and that is that the Boliden Area will have jump in grades. And as we are now starting to guide for grades, we will have deviations both up and down for every quarter. And one of the reasons is that there are certain areas that are – has almost no zinc, others have a lot more zinc. There are certain areas that have lots of gold and others have not so much gold. And all this mixture makes it very difficult to kind of predict, especially if you look at individual grades. I am looking a little bit at Håkan, but I think when we look at the total package of the Boliden Area, with all the grades involved, we are actually in value pretty close to the R&R statement. So, I wouldn’t look individually into specifically zinc. I am not quite sure about that. And as I said, this will jump up and down as we move forward. On Kevitsa, we are quite pleased that we have gotten further up, but we are in a natural way right now moving over to our pushback number four. The pushback number four is coming down. And as you know, you always have the best grades as you get down towards the bottom. So, we will nudge up towards the average and then beyond the average to make sure that the average works out as we move forward. And then we had the strike and impact, I will give it to you.
Håkan Gabrielsson: We had – in Q1, we had a total of SEK400 million negative impact from the strikes. Out of that, about half, about SEK200 million was a direct impact on production. And the remainder was lost revenue in terms of not being able to deliver an invoice material. So, a negative SEK400 million in Q1 and in Q2, we expect a positive SEK200 million when those – that material tied is released. And that will appear both as internal profit, a positive impact on that and also in the smelter results. The operational impact in Q2, I expect to be very, very small.
Mikael Staffas: Yes, we can say if that was the question, I don’t know if that was it, but the first week that – where the strike was still going on was, once again, the ports and the railroad system, and we were producing. And given that, that strike then ended, we have or are in the process of being able to ship out the excess finished metal inventory that we have. So, that particular one week of strike should not impact the results much at all.
Amos Fletcher: Okay. Got it. I guess just a very brief follow-up just on the Boliden Area side. So, looking at your R&R, the total – the reserve grade for zinc is 3.8%. And as you said, guidance for this year is 3.0%. So, it was just really a question of, what timeline can we expect?
Mikael Staffas: And as I said, this will be jumping over time depending on which parts we are in, and it will always be that. And as I have said, when we have less zinc, it usually doesn’t mean that we have zinc ore of lower grade. It means that we have less zinc ore going into a concentrator and rather ore that is rich in copper and in gold.
Amos Fletcher: Okay. It sounds good. Thank you.
Operator: The next question comes from Christian Kopfer from Handelsbanken. Please go ahead.
Christian Kopfer: Thanks for that. Good morning. Thank you. Two quick questions from my side. Firstly, on metal premiums, I see you reported quite a big negative number here. Quarter-over-quarter, I think it was – yes, it was minus SEK150 million versus the fourth quarter last year. How do you see metal premiums for Q2 versus Q1?
Mikael Staffas: The largest part of our premiums are on annual contracts, which means that – and we have just spoken a little bit more about that. But you are absolutely right, Christian, that the annual levels of premiums for 2024 is much lower than 2023, which means that you should expect a similar level on – in Q2 as we saw in Q1.
Christian Kopfer: Okay. Good to know. And then finally, on costs for the mines, typically, at least what I see historically, unit costs in the mines are heading upwards in Q1 versus Q4, but it seems a little bit like the opposite this quarter. So, the question is, in Q2, do you think unit costs will, more or less, stay at these levels for the mines, or should they come down a bit for Q2, as Q2 is typically lower cost versus Q1?
Mikael Staffas: That’s a little bit of a good question. I think that Håkan pointed out that if you do the Q1 over Q4 comparisons, we did have a couple of extra costs linked to those maintenance issues that we had in Q4 that we have not seen in Q1 that has helped us and so on. And going into Q2, I don’t know if we have any real kind of guidance around that.
Håkan Gabrielsson: No, I don’t think we can provide guidance with that granularity. But I can say that there is a very strong cost focus in mines at this time, has been when prices came down. And on top of that, we see market prices on consumables coming down. So, the cost side is looking good. And I don’t think I am prepared to promise an exact number for unit costs for Q2. But as a general comment, it is looking good.
Christian Kopfer: Yes, I can just recognize how it looks historically, and historically, costs are – if you look per ton of milled ore, Q2 is typically lower.
Håkan Gabrielsson: That’s right. And we typically have a bit lower throughput in Q1 due to winter conditions and so on. And that is in – that’s as – actually it’s not different this year, so…
Christian Kopfer: Yes. Okay. That’s very good. Thank you very much.
Operator: The next question comes from Johannes Grunselius from DNB Markets. Please go ahead.
Johannes Grunselius: Yes. Good morning gentlemen. Johannes here. I have two questions. The first one is on the ramp-up of Odda if you can provide some color how we should look at the ramp-up. Will it sort of be an immediate positive for you, or do you expect the first few quarters to sort of be quarters where you take extra cost and the actual impact is sort of negative? That would be very helpful if you can provide some insight there, please.
Mikael Staffas: Well, I can say that we expect ramp-up to be relatively quick and relatively smooth. And of course, once I said that, of course, there is of course, always a risk that there could be something else. And as we have guided for, the ramp-up is expected to happen during Q4. And basically, as of Q1, we should be able to produce relatively full.
Johannes Grunselius: Okay. Good to know. And then maybe I missed this, but what’s the latest regarding the insurance compensation for the Rönnskär is, anything new there to be said?
Håkan Gabrielsson: Say, but I am afraid, not so much news. There is a lot of technical work that the insurers need to do, and I have respect for that work. It’s – we have the feeling, and that is a feeling that is throughout our organization that this is working well. So, we are confident in the outcome. But I cannot give a timeline at this point.
Mikael Staffas: You should maybe point out that – just to be a little bit, if you are now the insurance company, just to give a little bit of kind of flavor on this one, they are looking at us a little bit and saying, what’s the big hurry, we are not really going to pay you much money in terms of anything until you actually start investing. That’s when we will start doing the payments. And in the meantime, we have a whole set of reinsurers in the background that we need to manage and everything else, and we have a big investigation. And we have to remember that we are an insurance company, we do things really slow, and therefore, this takes time. Whereas we would like to have 100% clarity saying that you sign on the bottom line, you will pay. That’s not really their mode of working. But I would say, as Håkan said, we have a very good general climate of discussion, and we are not really – it’s more for us, a kind of frustration because of the accounting rules that we need to have a certain piece of paper. When we have it, something happens, and when we don’t have it, nothing happens. And the insurance companies are not really so focused on that piece of paper.
Johannes Grunselius: Okay. Understood. But what you have indicated before, I think you talked about plus SEK4 billion as a floor of what you can get from the insurance companies. This is still relevant, right?
Mikael Staffas: SEK3.4 billion ceiling, that is for sure a ceiling. We are not going to go beyond that.
Johannes Grunselius: SEK3.4 billion, okay. Okay. Got it. My final question – yes…
Mikael Staffas: Yes, go ahead.
Johannes Grunselius: Yes. My final question is then on the headwind from the TCs, and this has been discussed in the call. But just to be a little bit certain here, how should we think about the incremental headwind in the second quarter versus the first quarter? My feeling is that we are talking about relative small numbers, right, sort of less than SEK100 million in negative headwind from lower zinc TCs, can you confirm that?
Håkan Gabrielsson: If I recall it correctly, the – in the EBIT bridge, in smelters, I think they reported about SEK130 million, SEK140 million negative quarter-on-quarter. And that reflects about half of the volume. So, I think you should add about SEK130 million to SEK140 million more to get the full impact.
Johannes Grunselius: Right. Thank you so much.
Operator: The next question comes from Ola Soedermark from Kepler Cheuvreux. Please go ahead.
Ola Soedermark: Yes. Hello and good morning. Just a follow-up question on the other line, it was a little bit bigger negative deviation there than we had expected. And I know that it’s a volatile number and a lot of moving parts. But are any of the kind of inventory you hold for related to the Finnish strike included there, or any other moving parts from the Finnish strike that are including there?
Håkan Gabrielsson: We talked about other in the EBIT bridge, right?
Ola Soedermark: Yes.
Håkan Gabrielsson: Okay. Now, what goes in there are typically balance sheet revaluations of accounts receivables and such things. So, nothing in particular related to the strikes. And then it might be one-offs that we, for some reason, do not include under items affecting comparability. So, no, there is nothing really connected to the strikes in there.
Ola Soedermark: Okay. And you expect it to swing back during the second quarter?
Håkan Gabrielsson: Yes.
Ola Soedermark: Thank you.
Operator: [Operator Instructions] The next question comes from Richard Hatch from Berenberg. Please go ahead.
Richard Hatch: Yes. Good morning. Thanks for the call. I am just trying to work out on working capital. I wonder if you can help us. So, if I look at the balance sheet, inventories built by about SEK1.4 billion, receivables came down a little bit, and then payables came down a little bit, too. So, on my math, you should have recorded a working capital build of SEK1.4 billion based on just the basic simple working calculation, which I think should be fairly easy to look through, but you reported SEK187 million release, so can you…
Håkan Gabrielsson: The main difference between the two is that if you look at the balance sheet, you look at exchange rate at the last day of the quarter, and when I talk about the cash flow impact, that’s on average rates through the quarter, and that has a fairly big impact. So, that will be the main difference.
Richard Hatch: Okay. Right. Understood. Okay. Thank you. And then can I just ask on the throughput of Garpenberg? You have kind of talked to a record mill volume there. Can you just help us kind of think about how we should model that for the rest of this year and then in future years? Thanks.
Mikael Staffas: I think that you should model it at 3.3 million throughput that at an annual pace. That’s what we have guided for.
Richard Hatch: Thanks very much.
Operator: The next question comes from Igor Tubic from Carnegie. Please go ahead.
Igor Tubic: Good morning gentlemen. Thank you for your time. I just have one additional question, and that’s with regards to the smelters. You mentioned in the report that you had some failure with the electric arc furnace and with the dryer in Harjavalta. Is that solved now, or should we expect that, that will impact Q2 as well? Thank you.
Mikael Staffas: That is solved. So, that should not, in itself, impact Q2.
Igor Tubic: Okay. Thank you.
Operator: There are no more questions at this time. So, I hand the conference back to the speakers for any closing comments.
Mikael Staffas: Okay. Well, thank you everybody for bearing with us during this hour or short hour. As I have said, we are – in Boliden, we are getting ready ourselves now to have the AGM of the Boliden Company and we are doing that in the spirit of a 100-year celebration. And I hope that you will all be able to, in some way, also feel that spirit. Thank you everybody.
Håkan Gabrielsson: Thank you.